Operator: Greetings and welcome to the ChipMOS Third Quarter Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to David Pasquale of Global IR Partners. Thank you, Mr. Pasquale. You may now begin.
David Pasquale: Thank you, operator. Welcome everyone to ChipMOS’ third quarter 2014 results conference call. Joining us today from the company are Mr. S.J. Cheng, Chairman and Chief Executive Officer; and Mr. S.K. Chen, Chief Financial Officer. S.J. will review the highlights from the quarter and then provide ChipMOS’ business outlook. S.K. will then review the company's key financial results. We will then have time for any questions. If you have not yet received a copy of today’s results release, please email Global IR Partners at imos@globalirpartners.com, or you can get a copy of the release off of ChipMOS’ website, www.chipmos.com. Please also note that management will be hosting one-on-one investor meetings at Morgan Stanley’s Singapore conference on November 14. Any interested investors on today’s call are encouraged to directly contact Morgan Stanley sales contact. Before we begin today’s prepared remarks and Q&A, we must make a disclaimer regarding forward-looking statements. During this call, management may make forward-looking statements within the meaning of Section 27A of the US Securities Act of 1933, as amended, and Section 21E of the US Securities Exchange Act of 1934, as amended. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual performance, financial condition or results of operations of the company to be materially different from any future performance, financial condition or results of operations implied by such forward-looking statements. Further information regarding these risks, uncertainties and other factors is included in the company’s most recent Annual Report on Form 20-F filed with the US Securities and Exchange Commission, and in the company's other filings with the SEC. At this time, I would like to now turn the call over to Mr. S.J. Cheng. Please go ahead, sir.
Shih-Jye Cheng: Yes, thank you, David. Welcome everyone to our third quarter 2014 conference call. Hopefully, you all had time to review our earnings release. We also announced the latest [proposed step] in our ongoing effort to streamline our corporate structure and to build additional shareholder value. We will cover all these important developments on today’s call. The takeaway for ChipMOS from Q3 first, this was another strong quarter with revenue [Indiscernible] and gross margins coming at the high end of our expectation. Secondly, capacity remains high, but we had capability to make use of demand [Indiscernible] to reduce the impact of the bottleneck in our LCD driver testing and bumping segment. As in the past, we continue to totally adding on additional capacity on a target basis, where we had firm demand indication. Thirdly, [Indiscernible] coming out of the Q3 earnings season is important to know our company demand drivers remain intact, and thus we are confident our growth will continue to outpace the broader semi industry. We expect momentum to continue into 2015 based on the demand indication from the existing and the new customer. As color, [Indiscernible] LCD driver business our Q4 would typically around 10% over than Q3. For this year we’re aiming for flat to slightly down revenue quarter or better than normal seasonality. Finally, we continue to be aggressive working on building shareholder value in addition to executing on our business. We are [driving initiatives] with the potential to directly positively impact value for shareholders. This step, including the relaunch of our repurchasing program and the latest proposals in our ongoing corporate structure streamlining. Although we are confident in our outlook, we are executing our business, our customer effort to position ChipMOS [Indiscernible] growth company in growth segments continues to be the right business strategy. And then we will continue to exercise a controlled Capex strategy but not at the expense of [Indiscernible] existing customer programs and any other significant opportunity we are pursuing. In terms of Q3, revenue came in at US$190.7 million, representing 7.3% growth compared to Q2 2014. This was above company’s guidance of 3% to 7% growth compared to Q2. Gross margin for the third quarter was 25.8%, which was at high end of our guidance of 23% to 26%, and less compared to 23.6% we posted in Q2. Margin continued to benefit from product mix and higher capacity utilization. We generated around US$18.5 million in free cash flow from operation, ending Q3 with just over US$470.4 million in cash and cash equivalents. Net cash was US$215.6 million. In terms of the business segment, revenue from our DRAM business was up about 5.1% in Q3 compared to Q2, and was about 33.4% of total Q3 revenue. Our memory business in the third quarter continued to grow as we positively benefit from customer capacity reallocation policy. Our Flash business including Mask ROM increased about 10.7% in Q3 compared to Q2, contributing about 17.2% of total Q3 revenue. Revenue from our LCD driver IC business including bumping was about 6.6% higher in Q3 vs Q2. Revenue from driver business was stressed at about 41% of total Q3 revenue level with Q2. Our Mixed-Signal business increased 18.5% in Q3 compared to Q2 and represented 5.9% of total Q3 revenue. Finally, revenue from our SRAM business held level in Q3 vs Q2 and represented 2.5% of total Q3 revenue. Let me now turn to our Q4 outlook. As I mentioned earlier, we remain optimistic and confident in our business outlook based on the current customer input. Overall, we expect revenue in Q4 could be flat or down in the low single digits compared to the third quarter of 2014. This is better than typical seasonality with normal Q4 revenue decline of 10%. We expect to see our Q4 gross margin in the range of around 23% to 26% on the consolidated basis. Before turning the call over to S.K, I want to take a minute to give you some additional color on our business and our other important development at ChipMOS. In the second half of 2014, demand in our LCD driver business improved quite significantly, after softness in June. We expect demand in the LCD driver business will remain healthy in Q4 ’14 led by the market penetration growth in UHD TV so called 4K/2K TV and the global [Indiscernible]. We remain one of the top two largest OSAT provider in the LCD driver business and continue to supplement our capacity and capability where possible to support our existing customers and new opportunities. Overall, we maintain a very positive near-term outlook from increased customer demand levels and recent development of the strategic opportunities. In terms of our memory exposure, we expect DRAM business momentum will also remain healthy. We continue to see our memory customer to outsourcing more of their capacity to the market as we do not see any newer big player entering the memory assembly and testing business in the near term. We also do not see any major OSAT player looking to enter the memory testing area given the higher barrier to entry. We are raising our continued positive demand expectations and our strong balance sheet. Our board had declared a cash dividend of US$0.14 per share. This represents our third annual dividend in a row. Our dividend declaration is consistent with the company's capital allocation strategy and is a direct reflection of the company's financial strength and focus on building additional shareholder value. Maintaining our goal to leverage our strong cash flow to benefit shareholders, our board also authorized a new repurchasing program up to US$15 million for common share repurchasing. We expect to adopt a new repurchasing program after the [Indiscernible] of today’s results. You will recall we had a repurchasing program previously [Indiscernible] as we entered into the share repurchasing agreement with ThaiLin on November 21, 2013. The latest repurchasing program is on top of our recent repurchasing of 1 million shares from [Indiscernible]. Again this program underscores our belief in the company’s financial strength, continuous long-term growth prospective and our board of directors and management team’s commitment to increase shareholder value. Finally we announced today that our board of directors have approved a proposed merger between our subsidiaries ChipMOS Technologies Inc. and ThaiLin Semiconductor Corp. Both subsidiaries entered into a merger agreement on November 12, 2014. Upon consummation, the merged entity will become a 58% subsidiary of ChipMOS TECHNOLOGIES Bermuda LTD. [Indiscernible] in the press release, under the terms and conditions of the proposed merger agreement, ThaiLin's shareholders will be offered a combination of NT$12.5 in cash and 0.311 of one ChipMOS Taiwan share in exchange for each ThaiLin' common share. At the effective time of the merger, ThaiLin will be merged into ChipMOS Taiwan with ChipMOS Taiwan continue as the surviving company, ChipMOS Taiwan is expected to remain listed on the TWSE trading under its current stock ticker 8150. The merger and effectiveness of the merger agreement are subject to the approval of greater than 50% of both ChipMOS Taiwan and ThaiLin shareholders entitled to vote in person or by proxy at the respective special general meetings to be held on December 30, 2014. This will represent the latest major step in our ongoing corporate structure streamlining, which we started a year ago therefore carefully evaluating number of options [Indiscernible] to determine the course of action with the best potential to pass the impact to our company and shareholders. ChipMOS management team and the board are in favor of this proposed subsidiary merger for several compelling reasons, including but not limited to the following. First the combination will be a larger installed memory testing capacity to serve the existing and new customers. Secondly, the merged entity will be able to more effectively provide service for Mixed-Signal market. Third, the cash position at Taiwan will increase, but not decrease by around US$8.5 million after the subsidiary merger. Fourth, the transaction is expected to result in the limited dilution to ChipMOS Bermuda. Finally, this would reduce [Indiscernible] at a Taiwan level, which will have a positive impact on our cash and net income level. Upon successful completion of the proposed subsidiary merger we would continue to evaluate our structure of pursuing opportunity, where possible to further maximize shareholder value. Let me now turn the call over to S.K. to review the third quarter financial results. S.K., go ahead.
Shou-Kang Chen: Thank you, S.J. All total amounts started in our presentations are in US dollars. We have provided both US dollars and NT dollars in our press release. The following numbers are based on exchange rate of NT$30.44 against US$1 as of September 30, 2014. As S.J. reviewed our revenue and margin, I will provide details on the rest of our Q3 results. Net income for the third quarter of 2014 was US$18.8 million and US$0.64 per basic and US$0.62 per diluted common shares compared to net income of US$5.6 million and US$0.19 per basic and US$0.18 per diluted common shares in the second quarter of 2014. Our operating expenses in Q3 decreased to US$13.9 million, or 7.3% of our Q3 revenue compared to US$15.7 million, or 8.8% of revenue in Q2. Other income in Q3 was US$0.9 million and non-operating income in Q3 was US$3.2 million. Income tax provision for Q3 was US$6.6 million compared to US$8.3 million in Q2. The non-controlling interests for the third quarter of 2014 increased to US$14 million as compared to US$9.4 million in Q2 ’14 primarily due to an increase of US$12.9 million in net income before tax at ChipMOS Taiwan in Q3 compared to Q2. On the segment basis, Q3 revenue breakdown was 24% in testing, 35% in assembly, 23% in LCD Driver IC, and 18% in bumping business. Total capacity utilization was 81% for the third quarter 2014 compared to 77% for the second quarter of 2013. Our Q3 testing capacity utilization increased to 77% from 75% in Q2. Assembly capacity utilization was at 79%, LCD Driver IC capacity was strong in at 85% utilization in Q3, and 85% for bumping. We spent US$20.4 million on Capex in Q3 compared to US$26.1 million for our second quarter. The breakdown of Capex for the third quarter was 20% for testing, 35% for assembly, 10% for LCD Driver IC, and 35% for bumping capacity. Given continued strong demand levels, our expected Capex budget for the full year 2014 will increase slightly to US$115 million from US$110 million. Depreciation and amortization expenses were US$23.7 million, or approximately 12.4% of revenue in the third quarter. This is slightly lower compared to the second quarter. EBITDA for Q3 was US$59.9 million, or 31.4% of revenue. EBITDA was calculated as earnings before income taxes, foreign currency gains or loss, net interest expenses, depreciation and amortization expenses and special charges. While EBITDA is not defined by Generally Accepted Accounting Principles, we believe it is a helpful way to measure our financial strength. The free cash flow in Q3 was US$18.5 million, which was calculated by adding depreciation, amortization, interest income together with operating income and then subtracting CapEx, non-controlling interest expenses, income tax expenses and dividends from the firm. As S. J. noted, we ended Q3 with the strong balance of cash and cash equivalents of US$470.4 million, compared to US$445.4 million at the end of Q2. As of September 30, 2014, we maintained our net cash position at US$215.6 million. Our total short-term debt including the current portions of long-term debt was US$96 million at the end of the third quarter 2014, as compared to $107 million at the end of the second quarter 2014. Long-term debt increased to $158.8 million at the end of the third quarter as compared to $97.2 million at the end of the second quarter. The higher long-term debt amount reflects our strategy to draw down US$197.1 million from the new credit facility to replace old loans with more favorable terms. As part of our ongoing efforts in maintaining an excellent financial position, we remain committed to further reducing our debt level and working to enhance shareholders’ value. Our account receivable days sales outstanding in Q3 was 71 days compared to 71 days in Q2. Inventory turns were 35 days compared to 34 days in Q2. Foreign exchange reflected a gain of US$3.6 million in Q3, compared to a loss of US$4 million in Q2. Our interest expense was $1 million in the third quarter, which was the same as the second quarter. Operator that concludes our formal remarks. We can now take questions.
Operator: [Operator Instructions] Our first question is from Timothy Arcuri of Cowen & Co. Please go ahead.
Timothy Arcuri – Cowen & Co. LLC: Thanks a lot. I had a number of questions first of all S.K. can you give us some sense of the non-controlling interest guidance for December and maybe how the collapse of the ThaiLin shares is going to change the expectations around MCI for 2015?
Shou-Kang Chen: The non-controlling interests for Q3 will be around 11 million will be slightly lower and this look further to reduce to roughly merge with tiding this will be reduced roughly 2 million at consolidate basis.
Timothy Arcuri – Cowen & Co. LLC: Sorry, S.K. so it will come down to 2 million or it will come down by an additional 2 million?
Shou-Kang Chen: Well, will be additional, will be reduced 2 million for quarter from non-controlling interests on a consolidated basis.
Timothy Arcuri – Cowen & Co. LLC: Got it, okay. And then, secondly can you talk about you’re sort of – you have some big wins on the NAND side with a couple of the large players and I’m wondering if you can size that opportunities for us next year it seems like it could be up to US$50 million incremental revenue next year which is a pretty good base of business for you even after business were flat. Can you help us size that incremental next year.
Shih-Jye Cheng: This is S.J. I think we are not talking about individual customer situation but the only thing I can tell you is for the new business involvement we are on the right call and appropriate right is positive.
Timothy Arcuri – Cowen & Co. LLC: Okay. Great and then, I guess one more for S.K. and one more for S.J., S.K. can you tell us what’s the cash is at Bermuda at the end of September and what you think the cash will be at Bermuda at the end of December?
Shou-Kang Chen: Right, I think at the end of Q3 the cash with the company is around 76 million and as we -- 50 million for repurchase but at the end of December that will be reduced to roughly 51 million.
Timothy Arcuri – Cowen & Co. LLC: Okay. And then last things for S.J., can you just tell us S.J. what the collapse of ThaiLin shares sort of what that means in terms of the milestones as you march toward ultimately collapsing the 8,150 and Bermuda what is this enable you to do next year and what milestone so you will be looking for, thanks.
Shih-Jye Cheng: Thank you for brining this question, the management team and our board member we are very careful to evaluate number of options and currently the ThaiLin and [indiscernible] subsidiary mergers will be a good start and we don’t do any possibility to further mesmerize shareholders value but we can now make too much statement because there is lot of uncertainty and none of the group shareholder involve together but I can hear is the we don’t do any possibility to mesmerize the shareholder barrier for further streamline our corporate structure. But sorry again we cannot make any uncertainty statement to misleading the investor. And hope this can answer your question.
Timothy Arcuri – Cowen & Co. LLC: Okay, okay, S.J. Thanks so much.
Operator: Thank you. The next question is from Richard Shannon of Craig-Hallum. Please go ahead.
Richard Shannon – Craig-Hallum Capital Group LLC: Asking S.K. congratulations on very nice results and the guidance for the quarter. I want to follow up on the last question S.J. is there anything preventing you from attempting to collapse 8,150 and -- during this process of merging 8150 and ThaiLin?
Shih-Jye Cheng: Sorry, can you repeat your question again?
Richard Shannon – Craig-Hallum Capital Group LLC: Sure. Is there anything preventing you from starting a plan, starting a process for merging or collapsing ChipMOS -- into 8150 at the same that you are going through the merger process between 8150 and ThaiLin?
Shih-Jye Cheng: As I mentioned to answer previous questions this will be very complicated process because they had different amount group of the shareholder, investor. So we not only evaluate ourselves we are also engaged legal counsel and banking counsel. So after we evaluate seeing for the ThaiLin and ChipMOS Taiwan merged together will be the good start at this timeframe. And as I mentioned to you management team and board do not do any possibility to further streamline the corporate structure in order to mark the shareholders value but again we cannot make too much of uncertainty statement at this moment.
Richard Shannon – Craig-Hallum Capital Group LLC: Okay, that’s fair enough. I appreciate taking that you can discuss. Thank you for that. Few more questions from me I think S.J. in your prepared remarks you specifically called out some good demand for seeing both kin LCD and DRAM as you look into next year but I don’t think I heard this anything about flash, there was a previous question regarding that what is the outlook looks like for flash next year and interest you are gaining conditional allocations with your current customers and then ramping up any new ones?
Shih-Jye Cheng: As I mentioned in my script, currently the flash memory and the [indiscernible] contributed around 17.2% our total revenue. I think that in the long runs this allocation is going to increase because we continue to spread our customer basis and also to engage more as well assembly and testing. Again I cannot talk too much about the individual customer situation and regarding to that DRAM our relationship with our key customer is very healthy and they are also seeing percentage and volume is continue to increase, so far so good and we also see positive in the first half of 2015.
Richard Shannon – Craig-Hallum Capital Group LLC: Okay, perfect. Maybe a couple of more of questions from me and I’ll jump on the line. Looking out into the first quarter hereafter better than season of fourth quarter as you are looking at is there any reason to expect trends out there, any different in seasonality just a general thoughts from what you can see currently today?
Shih-Jye Cheng: I think the major wise coming from couple of reasons, one is the penetration rate of the 4K, 2K TV, that penetration rate total percentage in the TV is better than our expectation. So, the capacity LCD driver were increased significantly and in the other ways see 4K, 2K TV they had a more higher resolution so they need more memory to support the performance. So this will be the key driving for us, so the Q4, the LCD driver based on our current customer of 4K is slightly better than the Q3. And other area wise is slightly worse than the Q3. So that hand to us for we are very, many other things working for us and slightly down of the Q4 that’s working better than the seniority. We are still working very aggressive to effectively improve so that there is no reason we can maintain the same gross margin.
Richard Shannon – Craig-Hallum Capital Group LLC: Okay, perfect. I think that’s all the questions from me. Once again congratulations guys.
Shih-Jye Cheng: Thank you.
Operator: Thank you. Our next question is from Charlie Chan of Morgan Stanley. Please go ahead.
Charlie Chan – Morgan Stanley: Hi, I have two questions. First is on your LCD driver IC business, I notice that your utilization rate increased from 73% in Q2 to 85% in Q3 but your analysis shows that LCD driver IC driven only grown like 6% sequentially. So what was the reason behind this, is there any bigger [indiscernible] LCD driver IC can you answer this part of question first?
Shih-Jye Cheng: The reason that LCD increased the way maintained the same our revenue contribution percentage other -- also increased proportionally.
Charlie Chan – Morgan Stanley: Okay. I mean your utilization rate increased lot in Q3 but your revenue for LCD driver IC only grew 6% quarter-on-quarter. So similar should increase a lot by your revenue grown less, so what’s the reason behind?
Shih-Jye Cheng: Okay, one of the reason is the product mix change therefore Q3 more driver is for the TV side and so that increase product mix difference.
Charlie Chan – Morgan Stanley: Oh, I see. Second part of my question is really competing that gap early this year, we see the competition from Korean vendors in LCD driver IC business. Do you think this concern is behind us or you think they will continue to impact your long term this year and emerging in the future?
Shih-Jye Cheng: We had a very strong [indiscernible] we can maintain a very good position in the market, a location percentage because we maintain very healthy business relation with our key customer and the inter barrier for this one always had a new people are coming in but as far as we know right now, we are committed about our position because we are tough in this area compared with memory. The LCD driver position is pretty healthy for us.
Charlie Chan – Morgan Stanley: Okay, second question if I may on memory side. So you mentioned that your key customers are doing more outsourcing and that does reflecting your great results but I think the industry traders have been seen that Micron potentially will set up a new JV where key competitors power -- next year. So do you concern any market share dynamic given this competitive JV with your key customer and also in your comments you said memory testing businesses high entry barrier business, so I’m wondering what was that mean for the entry barrier and I think on last quarter you also said you want to ramp up your main business you said customer, so what’s the progress there?
Shih-Jye Cheng: Okay, thank you for your questions. The first one to answer question regarding to that JV I’m not a right person to answer your question but I can tell you the relationship for ChipMOS and our key customer is very healthy and loading is pretty stable and the customer allocation products are based on the pricing, cycle time and quality. So far so good, we don’t see any near term impact and that’s first one, I think a lot of regarding to the Hsinchu area for the testing, you can see the memory key player to consolidate to see. So under this kind of situation the big player and net interest to participate this area because only three major supplier in the wafer only. And Korea people are also to buy [indiscernible]. And the other one is regarding to the testing, see if we were huge quantity for memory wafer testing does cover years ago and we had a very strong basis to set a customer. So in order to ahead of economic scale the entry barrier were quite high. Based on my personal estimation if you are working in this area at least that you need to prepare CapEx for around 150 million to 200 million.
Charlie Chan – Morgan Stanley: Okay, got you. So what about the NAND business progress? So I think people may bid, you are going to ramp up the NAND business this quarter that seems that you are guiding memory business were declined sequentially in Q4, so any push back or progress, update on this NAND business?
Shih-Jye Cheng: Let me correct you one time again that I just mentioned in the Q4 the LCD driver is slightly better than the Q3 and other product line is slightly weaker compared with Q3 and that some other result we give a guidance to the [indiscernible] lower single digit. So it’s not a business seniority issue not too much regarding our occasional and regarding we had a very good foundation in north and to participate company’s strategy so far so good, we cannot mention too much about the individual customer.
Charlie Chan – Morgan Stanley: Okay, got you. Thank you.
Shih-Jye Cheng: Thank you.
Operator: [Operator Instructions] Your next question is from [indiscernible] a private investor. Please go ahead.
Unidentified Analyst: Hi guys. You just continue to amaze us another awesome quarter just keeps on keeps on keeping on. I had a couple of questions it’s kind of going back little bit ThaiLin you talk about this deal has to get approved , do we get to vote on that as shareholders since we effectively own 60% ChipMOS ThaiLin or do we have no voting rights?
Shou-Kang Chen: This is S.K. in ChipMOS ThaiLin is EGMs we need to have everyone to present and vote on this agenda including ChipMos. I think that everyone to own ChipMOS Taiwan shares is entitled to go for these agendas during the shareholder thinking.
Unidentified Analyst: Okay, so we may have a vote on this. I was a little bit confused about something that you said and I wanted to just clarify, so with 1250 a share in NT dollars that you are going to pay to this holders of ThaiLin is that cash actually coming off of ThaiLin’s balance sheet so that basically you got to use their own cash the non-consolidated portion of the cash to pay the shareholders?
Shou-Kang Chen: I think the cash paid is coming from ChipMOS ThaiLin.
Unidentified Analyst: Okay, but I mean your pay and end up getting the ThaiLin cash back anyway, right consolidated on your balance sheet?
Shih-Jye Cheng: Yes, rotate to increase.
Unidentified Analyst: Okay, so that I will take so net, net the cash balance will go up $8 million.
Shih-Jye Cheng: $8.5 million.
Unidentified Analyst: That’s what I heard you saying.
Shih-Jye Cheng: Yes.
Unidentified Analyst: Is that USD or is that TWD?
Shou-Kang Chen: USD.
Unidentified Analyst: Okay. So you are basically going to use its own cash to buy the point three one shares. What is it take so long to get the deal done we prove it in December and then it completing in June what’s the --?
Shou-Kang Chen: We need to get to the all of the regular approvals and we also need to delete call ins from some ODCs exchange market. So, that – again we want to, we hope that we can make it happen sooner but up till now, as we discussed with our under writers that we need to push date, until June, 17th. As we can make it earlier, we hope that we can make it earlier.
Unidentified Analyst: Well, at this point is just a, you know, it's just a timing issue, it doesn't really matter because it effectively run the company, anyway. So, one question for you on the buyback. You know, it's great that you are buying back stock, we think that's a great use of the excess cash in Bermuda. Why only 15 million and why not 30 million to say? I mean, it still seems like you got an awful lot of excess cash there. And you should be aggressively buying the stock down here. Any thoughts on, why it wasn't bigger?
Shih-Jye Cheng: Now this is to answer your question, I think as Jye Cheng mentioned currently Bermuda case role, case position, we were going to pay, the case dividends and going to buyback, 50 million and so that's where we did our case role. But, like I said, ChipMOS Taiwan profitable in the 2014. So, they eventually are going to pay off the case dividend. So, we don't do our any possibility to further more aggressive player of that. But our place on the company, case division in market situation. Yes, at least it's a good start, right?
Unidentified Analyst: Yes. I mean, listen, anything is better than nothing. We were happy to see buyback this bill stock and I think there was a little bit of consternation among some investors when we saw the stock headed down recently, when the markets, we were like, oh my God, they should have the buyback in place, so that we can you know, get in there and get it a good price, but you know, we will take what we can get at this point. Okay. I really don't have any more questions at this point, another great quarter. Keep up the good work.
Shou-Kang Chen: Brian, this is to advertise again, I think based on the current company, trained by the HSC division, we were more aggressive to enhance our shareholder value. We don't have any possibility.
Unidentified Analyst: Okay. Alright. Thanks a lot guys.
Operator: Thank you. The next question is from Jerry Su of Credit Suisse. Please go ahead.
Jerry Su – Credit Suisse: Hi, it's JSK, I have two questions for you. My first question is regarding tailing, I think I looked at the TNL, I think that margins has been improving quite steadily. Third quarter has upper margin around 15%. So, I would like to get the sense on how you look at your business or even after you, fully consolidated business. What would be the core driver in 2015? I think as I wanted to know the latest development on the mixing note, and [Indiscernible]. The second question is more regarding the strategy, to capture the potential growth of touch, driver ICTTDI, which I think I think, some of the touch controller makers has been trying to promote that following that touch panel in 2015. Can you share with us, your thoughts and two most position for that technology? Thank you.
Shou-Kang Chen: Thank you Jerry. Actually I can answer your two question at one time. Because one of the key reason that we are going to move Thailin together with ChipMOS. We had a lot of LCD driver design house customer, in order to, they will increase their product portfolio. So, lot of drivers in the house are participant, for your second question. So, to processing Thailin, and also strong approval, not only for Aero CD driver but also for integrator devices. And the company already organized the taskforce division, all the potential customer, in order to more aggressive to increase the exposure of this area. That's the – and the second one is, since the right on the customer, design how, the proper portfolio is much wider than before. And timing wise, the company skills, database small company is with the two most. So, if the some key customers are going to ask, the BE management, they might have some concern. And the other one is that Thailin, do not have a strong assembly impounding basis to support the next generation with the labor in electricity peripheral chip. So, that's the major reason. We are trying to merge these two companies together. In order to provide the more full scale service for the company to our customer. And you are right, we are not having basically, the operation, allowing performer is getting better and better, including Shanghai. So, I think right now is the good timing for us to consolidate, we saw it together, to increase and our positions are also gain more market share around the market.
Jerry Su – Credit Suisse: Thank you. Can I also comment about the mixing note and also the men's sensor business?
Shou-Kang Chen: Yes, in regarding the mixing in those, I think you know one of our key customer, their position is very strong. And locations are there to increase, that's the reason, you can see the timings, margin improve a lot. Regarding the men's, we had a good progress but the revenue contribution is very limited.
Jerry Su – Credit Suisse: Okay. But any idea when we can see a further increase on the mixing the sales, I think now it's on 6% and yes.
Shou-Kang Chen: Yes, , actually the mixing percentage is very limited. But the increase proportion is very big. We increase around 18% for Q3 compared with Q2, and so one of the key reasons we have acquired Thailin is ChipMos had more resources to do the heavy investment, to increase the mixing our business area. Especially for, our existing custom basic driver, they are going to more aggressive increase their portfolio, for LCD TV peripheral chip and also for smartphone peripheral chip.
Jerry Su – Credit Suisse: Okay. Got it. Thank you SJ.
Operator: Thank you. The next question is from Joe Locke of ABR Investment Strategy. Please go ahead.
Joe Locke – ABR Investment Strategy: Thank you for taking my question. I am just wondering, how did you get to the premium that you have for Thailin semiconductor. And kind of inline with, just make sure, I understand what you are saying when you say anything is possible. Just to see confirm, you are essentially saying that the Thailin deal is not to stop you from being involved in any other consolidation activity? Is that the right way to interpret it that?
Shou-Kang Chen: Sure. Thank you for your questions. Actually the premiums - we in this merger case that we in case couple financial advisers and we - actually contacted very sought analysis and recommend to the board that, that we should consider, there are [Indiscernible] and business conditions and also the tuberculosis that of the transaction that happens in the local market. So we come up to, this numbers and as of yesterday, the closing price of yesterday, the premium is about 16% and the value that we pay for Thailin's one common share as of the closing price of yesterday, November 12th, will be 24.58, 20 dollars per shares. I think that's the numbers we add in, we agree with Thailin's authorize representative. And for this transaction, I would say that, we are quite happy here to say that, we have been discussed around the desk, structures or streamlines for long time. And we are happy that we move up. We were looking for the right opportunity, as we complete this transaction, this project.
Joe Locke – ABR Investment Strategy: But this is not close out anything, while it's going on, right, you can simultaneously-
Shou-Kang Chen: Yes, sure. I think that we were looking at any opportunities that we can take up further steps to streamline the corporate structures.
Joe Locke – ABR Investment Strategy: Yes. No, that was just my question, this closes the door until it's completely – and then just a couple, just quick ones on the margin. You know, great gross margin is the way that everyone's expecting, how much of that was from currency?
Shou-Kang Chen: From the range rates, I think we 3.6 million cans on that. And that the currency is quite limited.
Joe Locke – ABR Investment Strategy: Okay. So, that's mostly operational gains on the gross margins. And then on the EBIT margin, I am little confused. That was actually down quarter on quarter, but coming to your cost structure, you know, your R&D was down quarter on quarter, your SG&A was down actually quite a bit. And your EBITDA margin was also down, was that - it was because of because of product mix shifts, effecting your cost of goods sold or I mean, why was that?
Shou-Kang Chen: The EBITDA margins, also-
Shih-Jye Cheng: Increase quarter by quarter.
Joe Locke – ABR Investment Strategy: Yes, EBITDA margin increase but like I thought I said, I am looking at the wrong side, I am sorry. Will take the margin that was down, wasn't it from 30.6 to 29.4, am I reading that correct? The EBITA margin down from 30.6 to 29.4?
Shou-Kang Chen: EBITA margin increase, in this quarter.
Joe Locke – ABR Investment Strategy: Okay. And then lastly on CapEx, it looks like you had a pretty big spiking CapEx in Q4 to 50 million. Now looking into year, what goes on with CapEx, is Q4 kind of the peak where we are at or do we start to level off from there.
Shih-Jye Cheng: This I see, I think the companies that are target for the management team, we are going to amend hand, conservative capital investment. Our top is 15% of our total revenue, plus minus 5%. If that is good year, we increase little bit higher, if the slow season, we will keep more case in the company. And the reason why we increase CapEx in Q4, the main is coming from TV capacity increase. In order to increase our utilization rate and also increase our growth margin.
Joe Locke – ABR Investment Strategy: Sure, okay. That makes sense. And just to make sure that I heard, correctly in terms of cash in Bermuda, it's 76 right now and then if you spend everything on buyback, it's going to 61, is that correct, is that what you said, I thought I head 51?
Shou-Kang Chen: Yes. It's about 51, yes. But we are around 50 million by the end of December.
Joe Locke – ABR Investment Strategy: Okay. 76 minus 15 is 61, so there's another ten million of cash?
Shou-Kang Chen: No, we had cash with it.
Shih-Jye Cheng: Yes, we also pay cash, so.
Joe Locke – ABR Investment Strategy: Okay. So, at Bermuda. Okay, it gets under 51, great. Alright, that's it, for me for now. Thank you.
Operator: Thank you. And our final question is a follow up from Morgan Stanley's Charlie Chan, please go ahead.
Charlie Chan – Morgan Stanley: Thanks for taking my question again. So, my follow-up question is regarding your business outlook. So, you said in 3Q, the UK outgrow the small -- what about fourth quarter, any guidance regarding the smartphone and the TV drivers respectively?
Shou-Kang Chen: Actually we see maintenance every product meeting Q4 company with existing. So, our major concern is 4K that's the reason that we increase the Capex to increase our testing capacity.
Charlie Chan – Morgan Stanley: Okay. And you mentioned several times regarding the strong focus you get demand and you intend to increase CapEx. So, if we – have a longer term outlook, what is your assumption for the full-page UK penetration for next year, and compared to this year?
Shou-Kang Chen: Yes. I think this will depends on the price gap. Between 1K and 2K, 4K. And you can see 4K, 2K see the price gap with 1K, we will continue to narrow down, the more and more people and more incentive to represent the TV. And you can see in the Japan, coming [Indiscernible] labor use, all 4K broadcast, that's also contribute a lot of camera, video and other application. So, this trend will go into increase. And this year, total penetration rate is better than our previous assumption our previous assumption is around 5%. Actually up to now is over 7% to 8%. And next year, I think basically market potentially around 10 to 15. It depends on price gap meeting. And the total is one of the 4K, 2K TV, that's right quality is third times increase, three time increase.
Charlie Chan – Morgan Stanley: Okay. I agree. And I guess, my point is that, as you said, 4K, 2K TV reached the sweet point of price points, and there is a big surge of demand, do you have enough lead time to build up your capacity? But given now your resurgence rates already 85%.
Shou-Kang Chen: This is very hard to answer the question. And not only increment tax, the lead times around two to three months, depends on the market situation.
Charlie Chan – Morgan Stanley: Okay. Got you. So, lastly on Thailin, I know it is a high most calls, but is there any comments regarding the potential EPS dilution to 8150, and is there still?
Shou-Kang Chen: Yes, after this year, we see a very limited that we see in EPS, because we pay cash and share and so dilution not too much. So, EPS, yes, slightly impact but not too much.
Charlie Chan – Morgan Stanley: Okay. Got you. Thank you very much.
Operator: Thank you. I would now return the conference back over to management for any closing remarks.
Shih-Jye Cheng: Yes, thank you everybody for joining our Q3 conference call, thank you very much. Bye, bye.